Operator: Good day everyone, and welcome to the Olin Corporation’s Second Quarter Earnings Conference Call. All participants will be in a listed-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please also note that today’s event is being recorded. This time I’d like to turn the conference call over to Mr. Joseph Rupp, Chairman and CEO. Mr. Rupp, please go ahead.
Joseph Rupp: Good morning and thanks for joining us today. With me this morning are John Fischer, our President and Chief Operating Officer; John McIntosh, Senior Vice President of Chemicals; Todd Slater, Vice President and Chief Financial Officer and Larry Kromidas, our Assistant Treasurer and Director of Investor Relations. Last night, we announced that net income from continuing operations in the second quarter of 2015 was $42.3 million or $0.54 per diluted share, which compares to $36.6 million, or $0.46 per diluted share, in the second quarter of 2014. Sales in the second quarter of 2015 were $535 million, compared to $570 million in the second quarter of 2014. Second quarter 2015 results included a pre-tax gain of $52.2 million associated with property damage and business interruption insurance recoveries resulting from June 2014 incident at one of our two chlor alkali production units in Becancour, Canada. Second quarter 2015 results also included pre-tax acquisition related financing and other costs of $22.1 million, increased legacy environmental costs of $3.9 million and pre-tax restructuring cost of $700,000. Earlier this year we said, we expected improved pricing on the ECU driven by improved demand for both chlorine and caustic soda molecules. While we have seen some improvement in chlorine prices, these have been offset by weaker cost caustic soda pricing and weaker than expected demand. As a result, we now expect chlor alkali segment earnings to decline in 2015 when compared 2014. We continue to forecast that earnings in the chemical distribution at Winchester segments made forecast to improve in 2015 when compared to 2014. Without giving consideration to the impact of the Dow acquisition in the fourth quarter, we now expect our full year adjusted EBITDA to be in the $330 million to $360 million range. We continue to focus significant effort preparing for the Dow transaction several significant milestones toward closing the transaction have been achieved, all anti-trust approvals has been received and Dow has received a favorable private letter ruling from the IRS. We’ve completed a $1.85 billion unsecured credit facility with our banks which will partially fund the Dow transaction and provide back-up liquidity. The next key milestone will be the approval of the transaction by our shareholders. We now expect to close early in the fourth quarter. We are confident the transaction will be value creating and once the transaction is complete Olin will become the leading chlor alkali producer in the world. The number one global seller of membrane caustic soda, the number one global seller of chlorinated organic products, the number on global supplier of epoxy materials and the number one North American supplier of chlorine, bleach and on purpose hydrochloric acid. With the Dow businesses, we will create an industry leading chlor alkali and chlorine derivatives company with significant scale. We believe the new Olin will be less cyclical as we expand our chlorine placement opportunities from three to 19 products. The chlorine businesses we are acquiring from Dow are complementary to the Olin chlorine businesses and significantly less vulnerable to the current weakness in the market prices of chlorine and caustic soda. The global epoxy and global chlorinated organic businesses which account for approximately 70% of the sales that we are acquiring are sensitive to the manufacturing cost of chlorine and caustic soda and less from the market prices. As you know, we believe we’re acquiring the lowest cost chlor alkali manufacturing asset in North America. In addition, Olin will sell significant quantities of chlorine and caustic soda to Dow. These sales are also sensitive to the manufacturing costs of chlorine and caustic soda at the market prices. As a result, we see limited risks from the weak market chlorine and caustic soda prices to the annual Dow growing products pro forma forecast. We believe that we will generate at least $200 million in annual synergies within three years after closing. Some of the key benefits Olin expects from the acquisition will come from a significant reduction in the average cost of manufacturing ECU we've the opportunity to lower average manufacturing cost in some cases by as much as third. The use of the current Dow facilities effect the meaningful reduction in annual number of chlorine rail mile shipped is another significant opportunity for us and we’ll create significant rail savings. The opportunity to continue to expand our sales bleach we expect that by the summer of 2017 bleach season we’ll be in a position to achieve double-digit growth in bleach shipments. We’re also pleased that the current leaders and the respective management teams of the Dow Chlorine Products, global epoxies, chlor alkali vinyls, and chlorinated organics and the global chlor alkali manufacturing have all agreed to join Olin at closing. All the Dow Chlorine Product's management team have significant chemical industry experience with the epoxy, chlorinated organics chlor alkali and Vinyls businesses. As I stated earlier we expect to close early in the fourth quarter and at that point we’ll unite the two oldest chlor alkali manufacturers both who have operated over a hundred years and we’ll celebrate our past and we’ll look forward to a promising future together. Now I would like to turn the call over to our President and Chief Operating Officer John Fischer. John is going to discuss the quarter and the business in more detail. John?
John Fischer: Thank you Joe. Let me begin with our third quarter outlook. Third quarter 2015 net income is forecasted to be in the $0.05 to $0.10 per diluted share range which includes pretax acquisition related costs of approximately $17 million, financing expenses related to the Dow transaction of approximately $8 million. Chlor alkali third quarter earnings are expected to be lower than the third quarter of 2014 segment earnings primarily due to lower caustic soda volumes. Third quarter 2015 chemical distribution earnings are expected to be higher than the third quarter of 2014 due to improved caustic soda margin and increased earnings from Olin produced bleach, hydrochloric acid, and potassium hydroxide. In the Winchester business, third quarter 2015 earnings are expected to be comparable to third quarter 2014 levels. Third quarter 2015 results are also forecast to include approximately $6 million of higher legacy environmental cost compared to the third quarter of 2014. And finally third quarter 2015 earnings are expected to include restructuring charges of approximately $1 million. Turning to the individual businesses, beginning with chlor alkali. Overall chlor alkali industry demand in the first half of 2015 has not improved from 2014 levels as we had originally anticipated. This is reflected by the industry operating rates which have averaged 82% for the first half of 2015 compared to the 84% during the first half of 2014. Olin daily 3% operating rate during the first six months of 2015 has been comparable to the first six months of 2014. During 2015 there have been two chlorine price increases announced the last of which was a $40 per ton increase announced in May. As a result the chlorine price indices increased $35 per ton during the first half of 2015 which is the first increase in the chlorine price indices since the second quarter of 2011. We expect some additional increase in chlorine prices to occur during the balance of the year. At the same time caustic soda prices have declined during 2015. During the second quarter of 2015 compared to the first quarter of 2015 Olin realized higher chlorine prices but they were offset by lower caustic soda prices. The second quarter of 2015 ECU net back was approximately $505 per ton compared to approximately $510 per ton in the second quarter of 2014 and consistent with the first quarter of 2015 net back of $505. In the third quarter of 2015 we expect the ECU net backs to be comparable for the second quarter of 2015 as higher chlorine prices are once again expected to be offset by lower caustic soda prices. A combination of customer outages and Olin planned and unplanned outages resulted in second quarter 2015 chlorine shipments declining 12% compared to the second quarter of 2014. We experienced approximately $7 million of additional cost for maintenance turnarounds during the second quarter of 2015 compared to the last year's second quarter. Our second quarter 2015 operating rate was 84%. We’re expecting third quarter demand in our system to be comparable with the second quarter. As a result we expect the chlor alkali operating rate to be in the mid-80% range. Second quarter 2015 shipments of hydrochloric acid decreased 12% compared to second quarter of 2014 potassium hydroxide shipments decreased 10% from the second quarter of 2014 level. We continue to be able to sell hydrochloric acid as a premium to the price of chlorine. Second quarter 2015 shipments of bleach increased 2% from the second quarter of 2014. A key objective in the chlor alkali business continues to be growing the amount of our chlorine capacity that has sold his bleach and hydrochloric acid. And over the past five years our bleach volumes have grown at a compound annual growth rate of 9% and our hydrochloric acid volume has grown at a compound annual growth rate of 6%. Second quarter 2015 chlor alkali segment earnings of $25 million decreased compared to $40.8 million in the second quarter of 2014 primarily due to the lower chlorine and caustic soda volumes, lower ECU net backs and higher maintenance turnaround cost. The second quarter of 2015 segment results included a gain of $9.9 million from the Becancour, Canada property damage insurance recoveries, which related to costs incurred in expense in prior periods. Chlor alkali segment EBITDA during the second quarter 2015 was $50.6 million. Chlor alkali third quarter earnings are expected to be lower than the third quarter 2014 segment earnings primarily due to lower caustic soda volumes. We also expect the contribution from hydrochloric acid the decline approximately $2 million year-over-year in the third quarter. Now turning to the chemical distribution business. Financial performance for chemical distribution in the second quarter of 2015 improved significantly compared to the second quarter of 2014 as a result of the growth in shipments of Olin produced bleach, hydrochloric acid, potassium hydroxide and improved caustic soda margins. During the second quarter of 2015, the business achieved record levels of quarterly shipments of bleach hydrochloric acid and potassium hydroxide. We encourage that we are gaining traction selling these co-products to our distribution customer base. Increased sales of these co-products will continue to be a key component in the improvement of chemical distribution profitability as we move forward. In the second quarter of 2015, caustic soda shipments in the distribution business were lower than the second quarter 2014 levels and were offset by improved caustic soda margins. Chemical distribution second quarter of 2015 earnings were $2.4 million compared to breakeven in the second quarter of 2014. The increase in earnings is the result of higher shipments in bleach, hydrochloric acid, potassium hydroxide and higher caustic soda margins. Second quarter 2015 chemical distribution segment EBITDA was $6.3 million. We expect the third quarter 2015 financial performance to the chemical distribution business to improve compared to both the second quarter of 2015 and the third quarter of 2014. We expect sales volumes in the third quarter to increase for all products compared to the second quarter. Year-to-date 2015 chemical distribution EBITDA has increased 60% from 2014 levels. As a result of the continued growth in bleach, hydrochloric acid, potassium hydroxide sales and the ongoing focus on improving the returns in caustic soda we continue to expect that the EBITDA generated by the chemical distribution business in 2016 will double compared to the 2014 level of $16 million. Now turning to Winchester. Winchester experienced a 12% increase in commercial ammunition shipments in the second quarter of 2015, compared to the second quarter of 2014. This level of commercial ammunition shipments demonstrates to continued strength in demand. As a point of reference, second quarter 2015 commercial volumes were approximately 33% higher in the second quarter of 2012 levels which was the last non-surge second quarter we experienced. The strength of the business is also reflected in the commercial backlog which at the end of the quarter with an excess of $255 million. Again as the point of reference, to June 30, 2015 commercial backlog was more than doubled the pre-surge June 30, 2012 backlog of $124 million. Consumer demand for pistol, shot shell, rifle and rimfire ammunition was robust in the second quarter. In addition to the improved ammunition demand segment earnings benefitted from the continued growth in cost savings from our center fire ammunition relocation project. During the second quarter of 2015, the cost savings realized exceeded $9 million and we are confident that the full year 2015 cost savings will reach approximately $35 million. These savings in 2014 were $24 million. We also believe the annual cost savings realized from the project when completed will reach $40 million and at this level of annual savings will be realized beginning in 2017. Segment earnings for Winchester in the second quarter of 2015 were $33.9 million compared with $33.1 million in the second quarter of 2014. Winchester segment EBITDA during the second quarter of 2015 was $38.1 million. The second quarter 2015 year-over-year increase in segment earnings reflects lower commodity and other material cost and lower manufacturing cost partially offset by a less favorable product mix. During the second quarter of 2015 the purchase cost of copper and lead decline compared to second quarter of 2014 while the purchase cost of zinc increased compared to the second quarter of 2014. The net effect was a reduction in year-over-year commodity cost. We currently expect the full year 2015 purchase cost for copper and lead to be lower than the 2014 price and the full year 2015 purchase price for zinc to be higher than the 2014 price. We expect the overall effect to be a year-over-year reduction in commodity metal cost. We’re still confident that commercial ammunition demand will remain higher than the levels we experienced prior to the surge that began in late 2012. We expect ammunition volumes in the second half of 2015 to experience a year-over-year improvement compared to 2014 and that combined with the relocation cost segments will result in improved Winchester segment earnings in 2015 compared to 2014. The outlook for the Winchester business in 2015 and beyond continues to be positive and we believe that commercial ammunition demand will remain above the levels we experienced prior to the surge that began in late 2012. The prospects for Winchester continued to be bright as the business benefits from strong demand further enhanced by the ongoing Centerfire Ammunition relocation cost reduction project. With I would like to turn the call over to our Chief Financial Officer Todd Slater, who will review several financial matters with you.
Todd Slater: Thanks John. First I would like to discuss the balance sheet in the 2015 cash flows. Cash and cash equivalents at June 30, 2015 totaled $232.4 million compared to $245.6 million at June 2014. During the first half of 2015 working capital employed increased by approximately $52 million, this is consistent with our normal pattern. Olin typically experienced a seasonal working capital growth during the first two quarters of the year of between $50 million and $100 million followed by decreases in the second half of the year. During the first half of 2014 working capital increase was approximately $93 million. Capital spending in the second quarter of 2015 was $27.8 million. Depreciation and amortization expense during the second quarter was $34.7 million. We have reduced our expectations for the full year 2015 capital spending and are now forecasting the full year capital spending will be in the $105 million to $115 million range. We continue to forecast the full year 2015 depreciation and amortization expense will be in the $140 million range. During the second quarter Olin repaid 1.1 million primarily for term loan debt that matured under the amortization schedule. During 2015 there will be $16.4 million of payments on maturing debt. Now turning to the income statement. The second quarter of 2015 resulted included a pretax gain of $52.2 million related to property damage and business interruption insurance recoveries resulting from the June 2014 incident at one of the two chlor alkali production units at our Becancour, Canada facility. A portion of insurance recovery related to reimbursement of direct expenses incurred by chlor alkali and was included in a segment results and totaled $9.9 million. Remainder of the gain was recognized as other operating income. The second quarter of 2015 include acquisition related cost of $10.5 million associated with advisory, legal, accounting, integration, and other professional fees, and interest expenses included $11.6 million for acquisition financing expenses. During the third quarter of 2015 we expect to incur acquisition related costs of approximately $17 million and acquisition financing expenses of approximately $8 million which will be included in interest expense. Selling and administration expenses decreased $1.8 million in the second quarter of 2015 compared to the second quarter of 2014. This year-over-year decrease was primarily due to lower stock-based compensation expense of $2.2 million, which includes mark-to-market adjustments. As a reminder each $1 change in the stock prices increases or decreases selling and administration expense by approximately $750,000. Selling and administration expense as a percent of sales were 7% in both the second quarter of 2015 and '14. Second quarter 2015 charges to income from environmental investigatory and remedial activities were $5.1 million compared to $1.2 million in the second quarter of 2014. These charges related primarily to expected future investigatory and remedial activities associated with past manufacturing operations and formal waste disposal sites. The third quarter 2015 expenses for environmental investigatory and remedial activities are forecast to increase from the third quarter of 2014 by approximately $6 million. This forecast does not include any recovery of environmental investigatory and remedial cost incurring expense in prior periods. On a total company basis the defined benefit pension plan income was $7.4 million in the second quarter of 2015 compared to $7.5 million in the second quarter of 2014. As a result of the newly mandated mortality tables issued in the fourth quarter of 2014 by The Society of Actuaries. We expect 2015 defined benefit pension plan income to be approximately $2 million lower than 2014. We’re not required to make any cash contributions to our domestic defined benefit pension plan in 2015. During 2015 we do expect to contribute approximately $1 million to our Canadian defined benefit pension plan. During the second quarter of 2015 Olin recorded a pretax restructuring charge of $700,000 associated with permanently closing a portion of the Becancour, Canada chlor alkali facility and the ongoing relocation of the Winchester centerfire ammunition manufacturing operations from East Alton, Illinois to Oxford, Mississippi. We anticipate third quarter 2015 restructuring charges of approximately $1 million. The effective tax rate in the second quarter of 2015 was 33.6%. We continue to believe that the full year 2015 effective tax rate will be in the 34% to 37% range. On July 23rd Olin’s Board of Directors declared a dividend of $0.20 on each share of Olin common stock. The dividend is payable on September 10, 2015 to shareholders of record at the close of business on August 10, 2015. This is the 355th consecutive quarterly dividend to be paid by the company. Before we conclude, let me remind you that throughout this presentation we have made statements regarding estimates of future performance. Clearly these are forward-looking statements and results could differ materially from those projected, some of the factors that could cause actual results to differ are described without limitations in the risk factor section, of our most recent Form 10-K and in our second quarter earnings release. A copy of today's transcript will be available on our Web site in the investor section, under Calendar of Events. The earnings press release and other financial data and information are under press releases. Operator, we are now ready to take questions.
Operator: Ladies and gentlemen, at this time we’ll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Frank Mitsch from Wells Fargo Securities. Please go ahead with your question.
Frank Mitsch: John I am not sure if you're taking ideas for a new company name, but I think you can do worse than Nilo. A couple of questions on transaction, when do you think the timing, what’s your guesstimated timing of the shareholder vote? And did you guys have an estimate from the Dow side as to what that business generated in the second quarter in terms of EBITDA. I know the first quarter was tempered somewhat by a turnaround. So just curious if you guys had, what that second quarter number, EBITDA number was?
John Fischer: We do not have that number from them at this point in time that will come out when we revise full, Frank and our attention right now is we're anticipating the shareholder meeting in early to mid September.
Frank Mitsch: Early to mid September and then it will be a couple of weeks after that in terms of when you could close the transaction is that correct?
John Fischer: That is correct. We are -- want to be as early in the fourth quarter as possible.
Frank Mitsch: And Joe this is -- this transaction is obviously yet another of the consolidation that we’ve seen happening chlor alkali. And I am just curious from your perspective in terms of looking at the regulatory agencies et cetera. There has been some speculation about another possible move in the chlor alkali space in terms of a combination. Do you have a sense as to how favorably or not favorably the regulatory agencies might look at this. Is this something that we might be able to see some more consolidation take place even after you get together with Dow?
Joseph Rupp: I think, actually Frank it depends upon who it is, but I think there is always, there is still significantly number of clorine, chlor alkali producers and I think that the proper guys put together, there is room for -- we always said one more, but there is room for another one that would be great.
Frank Mitsch: And then lastly, since we last spoke from the last conference call, Mitsui did put its option and appears like you guys picked up their part of the JV at a reasonable multiple, any insights as to what happen there and what are your thoughts now that you have the entirety of that operation?
Joseph Rupp: I am not totally sure exactly what happened because that was a deal between Dow and between Mitsui. I do know though that they had the opportunity to exercise it and chose to do it, from our perspective we -- while we hold Mitsui in high regard and hope to continue relationship in some way with them. We think having control of the most modern cost effective membrane facility in the world is an advantage to us.
Operator: Our next question comes from Jason Freuchtel from SunTrust. Please go ahead with your question.
Jason Freuchtel: I know you don’t have the an estimate for Dow’s EBITDA yet, but based on the data you've seen so far, do you know if there is also been better or worse, and you would have expected given the current demand and supply environment?
Joseph Rupp: Obviously we can’t comment because we don’t know, what we would say is that we could comment on the first quarter results which in the S4 indicate where they ended up and they did have an outage which effected their first quarter and if you take that into account the first quarter is exactly where we’d expected them to be.
Jason Freuchtel: And do you have a sense of what the seasonality is for the earnings of the chlor alkali, chlorinated organics and epoxy businesses for Dow?
Joseph Rupp: We actually think there is very little seasonality in their business compared to ours.
Jason Freuchtel: And can you clarify what amount of debt liabilities you are adding to your balance sheet from the transaction?
Joseph Rupp: As of -- we’re going to -- we’re going to assume approximately with after the Matsui tag approximately $600 million of debt we’re also going to assume pension liabilities of approximately $400 million and on top of that we’re going to little over $2 billion of additional cash and will be required to closing to fund this transaction.
Jason Freuchtel: And I believe because of your refunded pension status there is a possibility you may not have to assume all of the $400 million is that still your understanding?
Joseph Rupp: The total pension liabilities that we’re assuming domestically is $400 million there is another 130 some odd million, we have to assume internationally. We believe there is a better than 50% probability that the 400 million we’re assuming will require no funding on our part going forward. So we’re assuming $400 million of liability, we don't believe it will cost us anywhere near 400 million.
Jason Freuchtel: And lastly was the $52 million of insurance gains, was that included in our previous guidance?
Joseph Rupp: No, it was not.
Operator: Our next question comes from Don Carson from Susquehanna Financial. Please go ahead with your question.
Don Carson: Just question on near-term. You see your fundamentals we've had pretty low operating rates which normally would help support cost to cure. So what is the issue with cost, is it weak domestic demand, weak export demand, or just more importantly the strong dollar or some combination of the three?
Joseph Rupp: It's probably combination of the three Don. For us mostly as we look our -- and as we look at the other domestic players that’s demand driven, there is just not robust demand and we look just at the second quarter of our results we had significant weakness in several of the key segments that are major cost to consumer namely pulp and paper which is to some extent was driven really strong.
Todd Slater: I think there overall market if you look at is flat, is really what is, and we’re still digesting some additional capacity that came on a year-ago, we’re not getting the growth that we need to get to absorb that.
Don Carson: And then post the Dow deal, what kind of shutdowns do you see in some of your stranded assets in order to reduce chlorine shipments by rail, thinking of up in Quebec as well as Macintosh? And then will that capacity be shut down permanently or you will just do some deep bottlenecks within the existing Gulf Coast system?
Todd Slater: Don obviously we can't talk about that until we close, but after we close we’ll be able to layout where our plan of action is. I think the couple of things we would say as certainly the Gulf Coast is the lowest cost manufacturing location in the world, and there is opportunities for us, and we’ll make that clear after we get chance to close.
Operator: Our next question comes from Christopher Butler from Sidoti & Company. Please go ahead with your question.
Christopher Butler: If we look at some of the metrics out of the housing market after a tough spring, things seem to pick up into the summer. Could you talk about why we are not seeing that translate into chlorine demand for your third-quarter guidance?
Joseph Rupp: When we look at our exposure to housing, we really have limited exposure to the vinyl segment today as Olin exists today. Probably our biggest exposure is urethanes. We do see some improvement in urethanes demand from our customers going into the third quarter and we've reflected some of that. They were off significantly in their second quarter consumption of chlorine based outages at their plants in the different companies networks. So we do reflect some improvement in that. And for us it will show up in urethanes and TIO2 predominantly.
Christopher Butler: Could you talk to us about the bleach and 2% growth year-over-year in your seasonally strongest quarter? Was that below expectation? Is there a reason for that?
Joseph Rupp: The second quarter is not the strongest, the third quarter is. Typically July, August has encompassed that. I think we would say that the second quarter was really not as robust as we would have expected just based on overall weather.
John Fischer: Totally, we had a slow start, very slow start to bleach season and did not have what we had anticipated.
Christopher Butler: And the environmental cost picking up here in the second and then third quarter, is this a structural change or just a temporary increase to environmental costs?
Joseph Rupp: We had a very low environmental cost last year. I think they were about $10 million compared to a run rate that was more or like 20 over prior several years and we exceeded that, we’re going to be closer to the normal run rate in 2015 than we were in 2014.
Christopher Butler: And just one more if you let me -- as the transaction nears to you and taking on significant debt with deal. Do you anticipate any change to your dividend policy post deal?
John Fischer: What I would say is the right answer for me to say is that the Board considers that every quarter based upon all the elements. But our -- what we like to say Chris is we’ve paid a dividend for 355 consecutive quarters. We understand the importance of it and we fully intend to continue it.
Operator: Our next question comes from Edlain Rodriguez from UBS. Please go ahead with your question.
Edlain Rodriguez: Just one question. Just trying to pick your thoughts on how do you see the dynamics of chlor alkali changing in the medium-term? I mean like what needs to happen over the next year for the market to pick up? Because China is decelerating, so it doesn't look like the global economy is improving. So essentially like what needs to be -- what's going to be the key driver for improvement in the chlor alkali market over the next year?
Joseph Rupp: Supply and demand has to be more in alignment and that’s what’s going to have to happen, hopefully there will be a little bit more demand and people will address the supply situation.
Edlain Rodriguez: So you think it's going to be a combination of both, like somebody has to shut down capacity?
Joseph Rupp: I do.
Edlain Rodriguez: As the biggest player in industry now, obviously it's not going to be you because you have the lowest cost so -- okay, somebody else has to do it. Quick question on Winchester, it's performing extremely well, probably above normal, so what do you see a normalized EBITDA for that business? I think in the past you mentioned a number, so is it still near that? And is that going to be 2016 or 2017 where we get to that level?
John Fischer: The number we've given out in the past as we see Winchester being able to generate at least a $125 million of EBITDA in every period. I would think looking as we look at just where we are today, I think 2016 optimistically will be above that. I mean we’ve still got tailwinds coming from the cost reductions from Oxford and that’s going to be able to put us in a position to offset any kind of volume declines we experience.
Todd Slater: I think that’s fair, we got 125 plus EBITDA.
Operator: Our next question comes from Arun Viswanathan from RBC Capital Markets. Please go ahead with your question.
Arun Viswanathan: I guess I just wanted to understand the statement you made earlier in the call regarding the S4. So you said that you will be issuing an updated statement proxy but did you also say that manufacturing cost savings would offset any ECU weakness or can you just clarify why you think that the pro forma projections are still valid?
Joseph Rupp: What we talked about was the first quarter, if you look at the first quarter and took into account what the EBITDA that was reported and took into account the statement and the MD&A from Dow about the outage they had, if you took a look at their first quarter they would be right on our expectation what have been.
Arun Viswanathan: Right, no, but earlier, I guess, in your prepared remarks you noted that there is significant cost savings on the manufacturing side, but you would be issuing a new S4, so what would the new S4 I guess have as far as updated projections?
Joseph Rupp: I think we’re combining a two statements, those cost savings on the side when we take over the S4, there is another S4 that has to be filed that will incorporate our second quarter and Dow's second quarter and that’s what we think we try to…
Arun Viswanathan: But we shouldn't expect any changes I guess to the future projections and fairness opinion and so on?
Joseph Rupp: No.
Arun Viswanathan: And then you characterized Dow's chlorine products business as the lowest cost amongst your competitors. How would you characterize your own system and where do you see opportunities to bring those costs down?
Joseph Rupp: Our system has some plants that are competitive and some plants that are not as competitive and what we have to take bear in mind is that while our plants are not in the Gulf Coast, they are regional and while they may have some manufacturing cost disadvantages often times they have logistics advantages. So what we have to do is look at and we are as you can imagine we know what we need to do and we’ll be in a position to be able to talk about that after we close.
Arun Viswanathan: And then I guess I also wanted to delve back into the caustic dynamics. Some of your competitors have had a tougher go of it, given their export position. Has that affected your own operations in your own netbacks and what do you see I guess in the next two to three quarters on the export side?
Joseph Rupp: We don’t participate in the export market, Olin doesn’t. We do know that export caustic numbers through April were higher significantly higher net exports than they were through April of last year. Having said that, that's not a market we participate in. So it doesn't directly impact us.
Arun Viswanathan: Right, no, I'm aware that it doesn't directly impact you but obviously you do good to see some of it through your KA Steel business and it looks like domestic netbacks do ultimately get affected when exports are weak and supply builds back up here but are you seeing any of that on the domestic side as far as increased supply? And what you expect for the next two to three quarters on domestic supply?
Joseph Rupp: The market is over supplied today, and we expect that it'll take some time for the supply-demand balances to come more in line. So we don't expect resolution for that problem in the very short-term. We do know that export caustic indices -- pricing indices continue to show weakness continue to go down mostly month-after-month. So that’s a really a reflection on the markets current supply demand imbalance.
John Fischer: And we did say we expect that our netback in the third quarter will be comparable to the second quarter reflecting better chlorine pricing and a little bit weaker caustic pricing.
Todd Slater: But today to get back on what John talked about. If the index is in the -- those who forecast the industry they do not show any further decline in caustic -- domestic caustic pricing. That’s right for contract business.
Arun Viswanathan: That's fair. Last question if I may, you talked a lot about changing the footprint into derivative products. When all is said and done, do you expect your own merchant capacity on caustic to be much lower than where it is now or minorly lower or how would you characterize that?
John Fischer: Our total merchant capacity post the Dow transaction in absolute terms will go up. But it will go down significantly as a percentage of the total business.
Operator: Our next question comes from Herb Hardt from Monness. Please go ahead with your question.
Herb Hardt: Can you give us some sense of what your blended interest rate will be once you completed the transaction?
Todd Slater: The information that we've disclosed in the S4 the average is 4%.
Herb Hardt: And environmental liabilities?
Joseph Rupp: They are going to be unchanged from where we’re today as Olin.
Operator: Our next question comes from John Roberts from UBS. Please go ahead with your question.
John Roberts: Could the problem with caustic be high ethylene prices so that the integrated vinyl players look at caustic as a loss leader to move ethylene, so chlorine is just not as linked to caustic anymore like it used to be?
Joseph Rupp: I think there is some validity to that. If you look historically, if you go back far enough, there was enough relationship between chlorine and caustic consumers that you had really ease a class of customers that were ECU customers that took both, a lot of things have happened in the years since that point in time, including regulatory change, including increases in global caustic trade, including the phenomenon you just mentioned that I think continue to decouple chlorine and caustic from each other. And think that decoupling is near complete now.
John Fischer: I was thinking chlorine used to be the dominant part of the vinyl molecule and so whether chlorine or vinyl went up or down it would affect caustic but now that chlorine is the minority value in the vinyl molecule, maybe those guys don't care where caustic goes anymore.
Joseph Rupp: I think it's worth considering your premise, but I do think that they care a little bit about more about the caustic there is a floor in caustic that’s important to them especially those guys who invested in chlor alkali assets.
Operator: Our next question comes from Dmitry Silversteyn from Longbow Research. Please go ahead with your question.
Dmitry Silversteyn: All my questions have been answered but I would like to follow up on a couple of things. You mentioned $35 a ton increase in chlorine pricing in the first half of the year. What was the decline in caustic prices over the same time period?
Todd Slater: Approximately $50 on contract price indices.
Dmitry Silversteyn: And are the spot pricing in the second quarter for caustic are down enough for you to believe that we're going to see down contract pricing in the second half of the year as well on caustic?
Todd Slater: Forecast for contract pricing indices for the second half of the year is actually flat to slightly up.
Dmitry Silversteyn: So we should see a stabilization -- it sounds like in the second half of the year at these levels?
Todd Slater: If we look at our system as just an indicator of what’s going to happen in the caustic market we've seen significant firming of demand across our system in both grades of caustic membrane and diaphragm in the last six weeks.
Dmitry Silversteyn: So we can look forward to hopefully better utilization rates it sounds like in the third quarter than we saw certainly in the first half of the year but even in the second quarter?
Joseph Rupp: We would hope to be the case.
Dmitry Silversteyn: And one final question on distribution business. You talked about volumes for bleach and potassium hydroxide and hydrochloric acid being up, but then overall distribution volumes, I think you said, were down. So was it just the caustic shipments that were down that much and chlorine shipments that they offset these downstream product shipment improvements?
Joseph Rupp: I think our comment was more specific, we just said caustic soda shipments were down, the others were all up. We didn’t drive an overall volume comparison.
Dmitry Silversteyn: So the decline in distribution revenues that on a year-over-year basis, is that a function of just lower pricing in hydrochloric acid and caustic?
Joseph Rupp: That’s exactly right.
Dmitry Silversteyn: And are you seeing hydrochloric acid pricing stabilizing? I know a big market for that was fracking but that's been sort of a dead market for long enough, I would think, that price reactions associated with that should've been washed out by now. Is there anything going on with hydrochloric acid pricing that makes you more confident than better performance in the second half of the year, both in your chlor alkali business and the distribution business?
Joseph Rupp: I think the pricing on the hydrochloric acid is more or less reach to bottom but it's half of what it was three quarters ago and our volumes as we said in the second quarter were off and we think volumes and price right now were sort of stable, but low.
Operator: Our next question comes from Alex Yefremov from Nomura. Please go ahead with your question.
Alex Yefremov: Could you tell us what is embedded in your second half 2015 guidance for chlor alkali's segment in terms of caustic soda price? Is it consistent with the index forecast that is out there? That caustic will stabilize or do you have a more pessimistic forecast?
Joseph Rupp: The guidance that we’ve given for Q3 is that the ECU will be flat relative to Q2 and we talked about where we think the indices are and that’s reflected in the guidance going forward. And remember some of the chlorine and caustic price moves in the indices lag in our system. So the declines in Q2 on caustic were usually reflected in Q3 and the reverse is true -- the increases we saw in chlorine, we said we expect to get some benefit in chlorine in Q3.
Alex Yefremov: Makes sense. So is all of Q3 price benefit in chlorine a function of prior price increases? And if so, do you expect any more additional chlorine price hikes?
Joseph Rupp: Typically at this time of the year with some of the seasonal demands for chlorine with not much room in front of them for the balance of the year, it would be a typical to see a chlorine price increase. But there is the industry is facing margin lots across on the ECU and we continue to explore ways to try to improve or add back to the margin we’ve lost because of the current pricing environment.
Alex Yefremov: And a final question if I may, have you been able to assess the reliability history of Dow's chlor alkali assets that you're buying and how does that history compare to Olin's system and also to the industry in general?
John Fischer: What I would say is that we have been extremely impressed with the reliability, the engineering and state of all the assets that Dow -- we're buying from Dow. So we believe that we are buying into a very reliable system.
Operator: And our next question is a follow-up from Jason Freuchtel from SunTrust. Please go ahead with your follow-up.
Jason Freuchtel: In addition to seeing some firming demand in caustic in your system, did you indicate that there could be a few planned outages in the industry that could impact caustic supply?
Joseph Rupp: We don’t have any outages scheduled in our system for the third quarter and I am not aware of any major outages scheduled in the third quarter around the industry, typically in the fourth quarter there are outages scheduled and we do have some outages scheduled in the fourth quarter.
Jason Freuchtel: I know you will be expanding in the 16 new derivative products but do you have an estimate for what the percentage of overlap and Dow's chlor alkali EBITDA would be with your legacy chlor alkali EBITDA?
Joseph Rupp: I am not sure, I understand the question.
Jason Freuchtel: I guess just how much overlap there is in the two end markets between your business and Dow's in the earnings streams?
Joseph Rupp: On anything that’s chlorine related there is no overlap at all. And they sell caustic and we sell caustic and that’s about the over laps.
Operator: And our next question is also a follow-up from Alex Yefremov from Nomura.
Alex Yefremov: Just wanted to make sure, did I hear that correctly that you expect caustic soda volumes to decline year-over-year in the third quarter and if that is correct what is driving that it looks like you expect higher utilization on the year-over-year basis?
Todd Slater: I don't remember, caustic demand in second quarter to third quarter I believe is relatively flat.
Alex Yefremov: I guess I was thinking more year-over-year. Is caustic soda demand also flat or up or is it down? If it's not part of your prepared remarks then I apologize.
Todd Slater: For us it's flat for the industry it's…
Operator: Ladies and gentlemen at this time I'm showing no additional questions. This will conclude our question-and-answer session. I would like to turn the conference call back over to Mr. Ruppp for any closing remarks.
Joseph Rupp: I want to thank you for joining us today. And we look forward to talking to you in October when we report our third quarter and hopefully successfully report on the closing of our Dow transaction. Thank you.
Operator: Ladies and gentlemen that does conclude today's conference call. We do thank you for attending. You may now disconnect your telephone lines.